Operator: Good day and welcome to the Texas Roadhouse, Incorporated Second Quarter 2015 Earnings Conference Call. Today's call is being recorded. All participants are now in listen-only mode. After the speakers' remarks, there will be a question-and-answer session. I would now like to introduce Mr. Scott Colosi, President and Chief Financial Officer. You may begin your conference, sir.
Scott Matthew Colosi - President & Chief Financial Officer: Thank you, Blake, and good evening, everyone. By now, you should have access to our earnings release for the second quarter ended June 30, 2015. It may also be found on our website at texasroadhouse.com in the Investor section. Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. We refer all of you to our earnings release and our recent filings with the SEC for a more detailed discussion of the relevant factors that could cause actual results to differ materially from those forward-looking statements. In addition, we may refer to non-GAAP measures. The applicable reconciliations of the non-GAAP measures to the GAAP information can be found under the Investors section of our website. On the call with me today is Kent Taylor, our Founder and CEO, and Tonya Robinson, our Senior Director of Financial Reporting and Investor Relations. Following our remarks, we will open the call for questions. Now, I'd like to turn the call over to our Founder and CEO, Kent Taylor.
Wayne Kent Taylor - Chairman & Chief Executive Officer: Thanks, Scott, and good evening, everyone. We are pleased – very pleased with our top line performance for the second quarter, as increasing guest counts and strong operating week growth drove 15% revenue growth for the quarter. Second quarter comps were up 8.2%, including a 6.5% increase in guest counts. And for the first four weeks of the third quarter, we have started off well with comps up 7.6%. While the strength and consistency of our sales growth remained strong, our second quarter profit did not keep pace. Significant food cost inflation of 9.4% driven by higher-than-expected beef costs more than offset our strong sales results, which resulted in profits being down 8.5%. On the development front, we continue to be pleased with the results from our new restaurant openings. We have modified our new unit expectations for 2015 to approximately 30 company-owned restaurants and we are well on our way to achieving that goal with 12 company-owned restaurants opened in the first half of the year, including three Bubba's 33 restaurants and 1 Jaggers location. The third quarter will be a busy one for us in terms of development with 14 openings expected as well as one franchise restaurant opening. Looking ahead to 2016, our development pipeline is shaping up very well. Our target remains to open 25 to 30 company-owned restaurants next year with most of those sites already selected. Now, I'll turn the call over to Tonya who will provide the financial update.
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Thanks, Kent. Diluted earnings per share in the second quarter of 2015 decreased 8.5% over the prior year to $0.30 per diluted share as strong revenue growth during the quarter was more than offset by a decline in restaurant margin driven by higher food costs. Revenue growth at 15% during the quarter was driven by an 8.2% increase in average unit volume along with a 7.4% increase in store weeks. For the quarter, comp sales increased 8.2%, comprised of 6.5% traffic growth and a 1.7% increase in average check. By month, comparable sales increased 8.1%, 7.2%, and 8.8% for our April, May, and June periods respectively. And as Kent mentioned, comps were up 7.6% in the July period. Restaurant operating profit increased 2.8%, or $2 million, for the quarter compared to the prior year. Restaurant margins as a percentage of sales decreased 193 basis points and restaurant margin dollars per store week were down 4.3% in the quarter. While we were able to generate leverage in labor events and other operating costs with strong average unit volume growth during the quarter, food cost inflation of approximately 9.4% far outpaced our pricing actions. Food cost inflation was higher than we expected driven by beef costs as we were on the market for a significant portion of our beef needs. While we continue to expect lower inflation in the back half of the year, we have raised our full year inflation expectations to 4% to 4.5%. This full year guidance implies food cost inflation of 1% to 2% in the back half of the year. On the labor line, we gained some leverage with strong average unit volume growth, but that was somewhat offset by higher average wage rates and healthcare costs. We are currently seeing a bit more wage rate inflation than the 1.5% to 2% we were expecting at the beginning of the year. Below restaurant margins, G&A costs were $23.6 million, up $2.3 million versus last year. As a percentage of revenue, G&A decreased approximately 20 basis points to 5.2%. Depreciation expense increased $2.4 million to $16.8 million versus the prior year and was flat as a percentage of revenue at 3.7%. We continue to expect our full year depreciation and amortization expense margin to be higher in 2015 due to the increase in our capitalized cost on new restaurants as well as an increase in the level of reinvestment in our existing assets. Preopening costs increased $0.5 million on a year-over-year basis, primarily due to the number of restaurant openings this quarter compared to the prior year and the timing of those openings. With 14 company-owned restaurant openings expected by the end of September, our preopening costs will be up significantly in the third quarter compared to last year. Our tax rate for the quarter came in at 29.7%, which was in line with the rate last year. We continue to expect our full year rate to be 30% to 31% depending on the reinstatement of the work opportunity tax credit in 2015. We ended the quarter with $71 million in cash and, during the quarter, we generated $37.1 million in cash flow from operations and spent $64.4 million primarily on capital expenditures, dividends and share repurchases. We have increased our expectation for 2015 capital expenditures by approximately $10 million to $145 million to $155 million based on the increase in new restaurant openings, the relocation of two restaurants later this year and our continued investment in our existing assets. Now, I'll turn the call over to Scott for final comments.
Scott Matthew Colosi - President & Chief Financial Officer: Thank you, Tonya. We continue to be very pleased with the direction of our business and our opportunities for future growth. Our sales have been great all year. And certainly food cost inflation has been a huge hurdle to date, but this should have less of an impact on our results for the second half of the year. And like other restaurant companies, we will have our share of minimum wage and healthcare cost increases to contend with for the remainder of this year and on into 2016. And we've begun evaluating the timing and amount of any menu price increases we expect to take in the fourth quarter of 2015. As usual, the discussion will be focused on many factors, including the inflation outlook for 2016 for both commodities and labor. And more importantly, we'll continue to focus on balancing the short term pressures we face with the long term positioning of the brand. Fortunately, we continue to generate more than enough cash flow to provide for new store growth, the maintenance of our existing store base and the return of capital to shareholders. As Tonya mentioned, we've increased our capital expenditure range for the year. Part of that is a result of opening a few more new restaurants, but we've also identified several other opportunities including the relocation of a couple of our existing restaurants, buying additional parking in some of our locations and buying land rather than leasing it for a few of our 2016 openings. Before I close, I'd like to thank all of our operators around the country for their continued hard work and commitment. They're doing an outstanding job of staying true to providing legendary food and service to our guests all the while incurring significant inflationary pressure on their bottom line results. That concludes our prepared remarks. So, Blake, please open the line for questions.
Operator: Thank you, sir. We will start with Will Slabaugh from Stephens, Inc.
Will Slabaugh - Stephens, Inc.: Yeah. Thanks, guys. Wonder if you could walk through sort of what happened with the food costs in the quarter. I know you mentioned this was supposed to be your highest inflationary quarter of the year. But it seems like it came in quite a bit ahead of where you thought it would end up. So, could you talk about kind of where you were locked and where it may be surprised you and why we have more confidence for the back half of the year?
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Will, this is Tonya. I can tell you that we haven't really talked about where we're locked or what we're doing from that perspective this year. But I can tell you we are putting a significant portion of our beef costs and that's kind of where we saw those costs come in higher than we – a little bit higher than we expected. We expected it to high in Q2, just not quite where it came in.
Scott Matthew Colosi - President & Chief Financial Officer: This is Scott, Will, and so we're floating a lot of product and, at the same time, our sales were quite high in the quarter. So, it was kind of we paid more for our beef and we bought a lot more of it. So it was – it really cost us a lot more than we had anticipated.
Will Slabaugh - Stephens, Inc.: Got you. One quick follow-up if I could on – you mentioned you opened a Jaggers in the quarter and then a couple of more Bubba's. So curious on the update there you mentioned you may have a little bit more data to provide this quarter on the Bubba's brand and then any sort of initial read on Jaggers?
Wayne Kent Taylor - Chairman & Chief Executive Officer: This is Kent. Yeah, the Bubba's, we're still very pleased with the results. A lot of these stores are fairly new, so you can't really judge where they're going to be in six months. And the Jaggers is also very new so we'll just – we'll probably have more information for you on the call in three months. But it's too early to tell at this point.
Will Slabaugh - Stephens, Inc.: Got it. Thanks, Kent.
Operator: Thank you. And we'll move to David Tarantino with Robert W. Baird.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Hi. Good afternoon and congratulations on the sales strength that you're seeing. My question is more about the margins than the sales here. I guess the first question I have is on the beef cost outlook, it assumes I guess, some moderation and the inflation in the second half of the year and my question is, one, is that something you're already seeing or is that by nature the comparisons? And then secondly, do you have any view as to what you might be looking at for next year at this stage?
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Hi, David. It's Tonya. I can tell you as far as what we're seeing right now, some of it is just what we're lapping because beef inflation was higher last year in the back half of the year. But we are seeing a little relief in the prices currently. It's a little early to tell, but we're encouraged by what we're seeing so far.
Scott Matthew Colosi - President & Chief Financial Officer: David, this is Scott. For next year, it's really just too early to make any calls on that. Certainly, we read things that people publish that say, hey, maybe supply is starting to grow again in the cattle world. I think we don't have any bids in hand that says what we're going to pay next year, what we're not going to pay next year, so it's really just too early to tell at this point.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Okay. And then maybe a quick follow-up on the margin side, I think you previously said that you would be able to potentially hold restaurant margin percentages flat for the year if you had a mid-single digit comp and now you're guiding to mid-single digit comp, so do you think it's reasonable to still expect that you can hold the margins flat or will that higher inflation outlook now require a higher level of comp to hold the margins flat?
Scott Matthew Colosi - President & Chief Financial Officer: It'll be tough. It'll be tough at the end of the day with our second quarter coming in a little bit worse off on the margin side than we anticipated. It'll be a stretch to get there for the full year.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Great. Thank you very much.
Operator: Thank you. And we'll go next to John Glass with Morgan Stanley.
John Glass - Morgan Stanley & Co. LLC: One more on beef and then I want to talk about maybe Bubba's. But the – on the 1% to 2% in the back half, how certain are you of that? Have you taken – have you changed courses during the year and locked in more food so you've got better visibility or is that something that you're just basing on the market price of those commodities?
Scott Matthew Colosi - President & Chief Financial Officer: John, this is Scott. We've been floating quite a bit of product all year. So, I would tell you that there's a bit of risk in that forecast to the good or to the bad, and it looks like it'll stay that way probably as we continue throughout the year.
John Glass - Morgan Stanley & Co. LLC: Okay. So Bubba's is now going to be nearly 20% of unit openings this year, so I'm wondering if – I know last couple calls, there's been questions, but maybe not as much clarity on the unit economics of this business. So maybe can you talk a little bit about where you think those are going to look and if they're going to be substantially different than Texas Roadhouse and what ways? When you think about 2016, might we see the same number of Bubba's? In other words, another 15% or 20% of your openings in this concept? Could it be larger? What is your thinking, I guess, over the next year or so and what do the economics of this business look like?
Scott Matthew Colosi - President & Chief Financial Officer: Well, John, this is Scott. The unit economics for Bubba's, generally, they'd cost a little bit more than a Roadhouse, a little bit larger, a little bit more parking. On the other hand, sales typically comparable to or better than a Roadhouse, margin substantially better than a Roadhouse. So the returns, even though the investment is a little bit higher in the Bubba's side, the returns should be as good or better than the Roadhouse side.
John Glass - Morgan Stanley & Co. LLC: In terms of your overall thoughts about plans of opening in 2016, is this something you – likely to be a larger percentage of your openings in 2016 than was in 2015?
Scott Matthew Colosi - President & Chief Financial Officer: Too early to really comment on at this point. I can tell you, you might expect us to do a handful of Bubba's in 2016 and we'll give you an update from that on the next call.
John Glass - Morgan Stanley & Co. LLC: Okay, great. And then just one more on that, is the economics, I presume, if volumes the same or better, but the margins are about better (16:00), it's all about the food cost is a much more favorable food cost model or is there some other piece to it?
Scott Matthew Colosi - President & Chief Financial Officer: The food cost is definitely more favorable, much higher alcohol mix as part of that with Bubba's and just the menu of burgers and pizza versus steaks.
Wayne Kent Taylor - Chairman & Chief Executive Officer: And we see some of our competitors on the line here, so we'd kind of like to not give you all the facts at this point.
John Glass - Morgan Stanley & Co. LLC: Got you. All right. Thanks very much.
Operator: Thank you. And we'll go next to Brett Levy of Deutsche Bank.
Brett Levy - Deutsche Bank Securities, Inc.: Good afternoon. If we could spend a little bit of time talking more about labor. Obviously, last quarter, you gave us about $5 million to $6 million and you've already said – of healthcare costs, and you've already said that wage rate inflation is trending above the 1.5% to 2%. What are you seeing in terms of turnover and is the new – is the 7% growth that you've seen in the last two quarters per store, is that the new norm? Or do you think we could see some improvement? And also, just a follow-up to that is are you looking at any research about the consumer that gives you the feeling that you might have more room to take pricing in the latter portion of the year than you normally do?
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Hi, Brett. This...
Scott Matthew Colosi - President & Chief Financial Officer: I...
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Oh.
Scott Matthew Colosi - President & Chief Financial Officer: Go ahead.
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: This is Tonya. I'll just answer the first part of that question on the labor piece. I will tell you that we are seeing a little more hourly turnover. It's up probably 5% or so, I would say, versus last year. So that is playing a part on our inflation. It's probably trending more in that 2.5%, maybe a little higher than that even before the healthcare insurance. That's – the healthcare has trended in just like we expected in that $5 million to $6 million range, so that looks fine. But the average wage rate inflation is up a little bit and I think that's what we're seeing on the labor line.
Operator: Thank you. And we'll go next to David Palmer with RBC.
David S. Palmer - RBC Capital Markets LLC: Thanks. Just a quick follow-up on the beef costs. I was a little surprised by the amount of inflation on steak even given the fact that you're floating. Is there some way for you to describe or just give a sense of maybe the cuts or perhaps you were locked in last year, you're not this year to make us understand why the inflation might be a little higher than what we see in some of the Urner Barry numbers or some of the other published stats? Thanks.
Scott Matthew Colosi - President & Chief Financial Officer: Well, David, this is Scott. We were floating quite a bit of product last year and last year – seasonal changes were pretty benign last year. So this year is sort of normal seasonality, prices tend to peak in the second quarter. And so we knew we were going to have probably our highest inflation of the year in the second quarter because of that and it turned out to be the case and it's virtually in all the cuts of beef that we sell.
David S. Palmer - RBC Capital Markets LLC: Great. Thank you.
Operator: Thank you. And we'll go next to Jason West at Credit Suisse.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Yeah, thanks. I guess was there anything that surprised you guys on the non-beef inflation? Just wondering – or if you could talk about at all what those numbers are looking like outside of beef.
Scott Matthew Colosi - President & Chief Financial Officer: This is Scott. No big surprises. Seafood is looking pretty favorable and chicken's looking pretty stable for us. So, nothing that's very surprising outside of just the magnitude of beef.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Okay. And then going back to the pricing decision, I recognize you guys probably haven't made a decision yet there that you want to disclose anyway, but as we've looked at the run rate over the last few years, as you've seen a lot of in beef inflation as well in the last few years, is there any reason to think the pricing decision would be materially kind of different from the run rate that we've been on or other factors like wages that are really going to weigh more heavily than we've seen on maybe the beef side in the last few years?
Scott Matthew Colosi - President & Chief Financial Officer: Wages would weigh a lot more heavily than food costs would. Since food costs for the most part are of cyclical nature, we put a lot more weight on minimum wage or wage rate related things, healthcare, that sort of impact everybody at the same time versus commodities which is much more selective.
Jason West - Credit Suisse Securities (USA) LLC (Broker): Okay. That's helpful. Thank you.
Operator: Thank you. And we'll go next to Karen Holthouse with Goldman Sachs.
Karen Holthouse - Goldman Sachs & Co.: Hi. Thank you for taking the question. So in last quarter there was a couple – actually in the past couple of quarters, there's been some different technology trials that have been talked about, sort of better management of the wait in the restaurants, the potential for servers to have hand-held devices. It's a pretty rapidly changing playing field out there. So just thinking about, is there anything incremental to talk about on that front?
Scott Matthew Colosi - President & Chief Financial Officer: Karen, this is Scott. There's nothing incremental on our end. We continue to explore, look very hard at many different options. Well aware of what others in the industry are doing and getting a lot of feedback on how those processes work and how well they're received by those companies and their employees. But we're looking very hard at what we think might work for us and also know that the technology is changing so fast that we're going to be pretty diligent about the directions we're going to go.
Karen Holthouse - Goldman Sachs & Co.: Great. Thank you.
Operator: Thank you. And we'll go next to Jeffrey Bernstein with Barclays.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Two questions. Just want to follow-up on that prior question related to pricing. If I understood it correctly and I think we all know that food is somewhat volatile but labor only goes up. So in that scenario, I think you said food inflation in the back half is only going to be up 1% to 2%, and then you go into early 2016 and obviously you're lapping the tremendous inflation that we're experiencing right now. So in that type of scenario, if food was flattish to down a little bit, but labor was at these elevated levels, you'd be more inclined to take more than the 2% in 2016, again, being driven by labor and less by commodity inflation? Is that how you kind of weight the two of them?
Wayne Kent Taylor - Chairman & Chief Executive Officer: Jeff, this is Kent. We're getting ready to sit down in a week and I go through calls with our operators or our area managers, that'll be about 50 people, and we discuss the pricing in their individual market plus the pricing per individual item. And then we come out of those calls with some ideas on which parts of the country are more comfortable raising prices, maybe less than 2% or more than 2% And I think, at that point, we have a better idea of where we're going to end up with our pricing.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And then just as you look at the restaurant margin, or, I guess it's obviously closely correlated to AUVs, but can you talk about a range of the highest to lowest quartile? I don't know how you bucket those, but I'm just wondering where the common themes may be of the weaker restaurant margin markets versus the strongest. Just wondering how you kind of bucket those things as you analyze the portfolio.
Scott Matthew Colosi - President & Chief Financial Officer: This is Scott. I'm not understanding where you're – what you're trying to get at with your question.
Jeffrey Bernstein - Barclays Capital, Inc.: Yeah. Obviously, you have a wide range of AUVs across your system. I'm just wondering whether it's very directly correlated in terms of the restaurant margin in the best markets versus the worst markets, if they follow a similar trend, or whether there's something else that might drive some of the weaker margin markets other than AUVs? I'm just trying to think about how you look at your portfolio in terms of the performance of the different markets.
Scott Matthew Colosi - President & Chief Financial Officer: Well, there's no doubt it starts with sales. So lower sales typically mean lower margins and there are exceptions in higher wage rate states or what would be your higher other cost of doing business, whatever it is, in a certain state. But for the most part, its sales driven, its guest count driven, but we've got very high sales all over the country. So, we've got strong markets all over the country. It's really – we're just talking select stores.
Jeffrey Bernstein - Barclays Capital, Inc.: Got it. And lastly, it just seemed like – is there any update on the CFO position? I think – I don't know if Scott you're likely to hold both titles for an extended period or whether the search is still kind of ongoing?
Scott Matthew Colosi - President & Chief Financial Officer: Search is still ongoing and we're talking to a number of people, and we've got a pretty wide reach. Hopefully, we'll have some news on that as the year goes on.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you.
Operator: Thank you, and we'll go next to Keith Siegner with UBS.
Keith R. Siegner - UBS Securities LLC: Thanks and great quarter. Scott, if I could just ask you about – a little bit about the traffic in the top line. These are busy boxes, right? Long lines a lot of nights of the week. To put up that kind of guest count number is really impressive. I just wonder if you could talk about, where is the traffic coming from. Is this increased throughput at peak, is it shoulders, other nights? Are the minutes per party trending down? If they are, how are you getting those minutes per table down? Just if you could talk a little bit more about that traffic it would be great. Thanks.
Scott Matthew Colosi - President & Chief Financial Officer: I think it starts with our partnership program and the way we pay our operators. They're partners in the business and they own 10% of the profits in their restaurants. And so, they have a great incentive to find ways to run their restaurants in a way that gives them the best opportunity to grow traffic. And whether that's adding seats inside the four walls, bumping out their restaurants, turning tables a little bit faster, using certain technologies, the way they staff their restaurants, local store marketing efforts – but it really starts at that partnership program and baseline incentive. And in combination with a great – not messing with the food, not messing with the labor standards, and you heard Kent talk about the pricing strategy for us, which has always been very conservative. And what we like to say internally, we talk – have you tried our steaks lately? And so I think that's just a big reason why people keep coming back and visiting us.
Keith R. Siegner - UBS Securities LLC: So just little bits and pieces kind of across the board of options, this sounds like.
Scott Matthew Colosi - President & Chief Financial Officer: Yeah.
Keith R. Siegner - UBS Securities LLC: Thank you.
Operator: Thank you. We will take our next question from Alton Stump at Longbow Research.
Alton K. Stump - Longbow Research LLC: Yes. Thank you and good afternoon.
Scott Matthew Colosi - President & Chief Financial Officer: How you doing?
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Hi, Alton.
Alton K. Stump - Longbow Research LLC: Yeah, I just wanted to ask follow-up questions on the margin front. (27:27) obviously makes sense given the Q2 result, but as I look back at your comp performance, which obviously was once again quite positive both for 2Q and to date in the third quarter. How do you keep that going? Obviously, you're going to be lapping some awfully difficult comparisons in the back half of the year. And specifically on the new product front, it's been a couple of years since your last major launch of Porterhouse, I think, in the fall of 2012. Is there anything planned either back half of this year, next year on the new product front and/or how – are there other ways you can help to offset some of the comps getting more difficult on the same-store sales front? Thanks.
Wayne Kent Taylor - Chairman & Chief Executive Officer: This is Kent. No, no big products on the – in the pipeline at the moment for the rest of this year or next. We think it's just basically doing what we've done for a lot of years, taking care of our people that end up taking care of our guest. And so we let others try to figure the new gimmick and we just stick to our guns and do what we've always done.
Alton K. Stump - Longbow Research LLC: Okay. That's all I have. Thank you.
Operator: Thank you. And we'll go next to Paul Westra with Stifel.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Great. Good afternoon, everyone. Just another follow-up on your cost of goods sold, so I guess the outlook. Just want to confirm a 1% to 2% outlook and I assume that's a year-over-year basis that is right around pricing. Is there any reason why you would not see flattish to down year-over-year cost of goods sold in the second half?
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: It's definitely possible, yeah. With the amount of pricing we have in the menu, to your point, yeah. And it looks like it will be – we believe it will be pretty evenly spread over Q3 and Q4. So, we're not expecting to see the volatility that we've seen here in the first half of the year.
Paul Westra - Stifel, Nicolaus & Co., Inc.: All right. Then if that's the case then from a seasonal dollar standpoint, it sounds like – so it's safe to say Q2 dollar cost seasonally can be – whether it's 3% to 5% higher than the second half of 2015 in order for the cost of goods sold to come back over 37%, closer to the last year's 36% range.
Scott Matthew Colosi - President & Chief Financial Officer: Are you talking percent of sales?
Paul Westra - Stifel, Nicolaus & Co., Inc.: Yeah. Yeah, I'm just trying to picture how – clearly, you mentioned seasonality is up in 2Q, just trying to see how much on a maybe dollar basis you expect your dollar purchases to come down in the second half in order to...
Scott Matthew Colosi - President & Chief Financial Officer: Yeah. If we ran over 37% in Q2, we'd have to run a little bit below 36% probably to be at 1% to 2% inflation for the back half.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Right. Okay. And you're in – and what is beef is now as a percentage of total cost? Your basket now has inflated so much.
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: It's about 46%.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Okay. And the other 55% again is relatively benign in the low singles range or so?
Scott Matthew Colosi - President & Chief Financial Officer: You talking inflation all those items?
Paul Westra - Stifel, Nicolaus & Co., Inc.: Yes.
Scott Matthew Colosi - President & Chief Financial Officer: It's pretty – as a basket, it's pretty small overall. Most of our inflation is driven by beef inflation.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Okay. One more follow-up on maybe Keith's question, we've seen a lot of competitors of yours having a pretty – I guess, bigger increases in your menu mix impact. I know you sort of try to stay true to keeping the check as low as possible, but any thoughts on any moving parts in the average check number? Any possibilities maybe pushing, I don't know it's whether more desserts or more – or moving people up the menu?
Wayne Kent Taylor - Chairman & Chief Executive Officer: This is Kent. Nothing right at this time. Our guests have a wide variety of menu prices they can choose from when they look at our menus. So, they kind of decide whether they want to eat something more expensive or less as they visit us.
Paul Westra - Stifel, Nicolaus & Co., Inc.: Fair enough. Congrats on a strong top line performance.
Operator: Thank you. And we'll go next to Andrew Strelzik with BMO Capital Markets.
Andrew Strelzik - BMO Capital Markets (United States): Hey. Good afternoon. Thanks for taking the question. You mentioned some of the things you're reading that could point to potentially more positive outlook for beef in 2016. So I'm just wondering if we were to see that type of environment, does that all flow to the bottom line or is there anything from a spending perspective maybe pent up that would mitigate that flowing through or how should we think about that?
Scott Matthew Colosi - President & Chief Financial Officer: This is Scott. Certainly, we've had some pretty good years in the past when there was beef deflation in the market, so you certainly hope a lot of that would flow and we'd get some margin – overall margin back that we've given up the last few years in protecting the average check for us. But to quantify exactly how much and what that range is that's just something that we're just not able to provide you with at this time.
Andrew Strelzik - BMO Capital Markets (United States): Okay. And then a question around capital deployment, obviously, the share repurchase has slowed from last year and the stock's been doing very well, so I'm just wondering how we should think about that going forward. You had mentioned wanting to do some franchise acquisitions if those presented themselves. Is there anything on the horizon from that front or you just looking to be more opportunistic around share repurchase and capital deployment?
Wayne Kent Taylor - Chairman & Chief Executive Officer: I'd say beyond our dividend, we're going to be very consistent with the dividend and the increasing of that dividend. Share repurchases, franchise acquisitions would be very opportunistic.
Andrew Strelzik - BMO Capital Markets (United States): Okay. Great. Thank you.
Operator: Thank you. And we'll take our next question from John Ivankoe with JP Morgan.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you. Obviously, you involved the operators and the district managers very, very closely in the pricing decisions that are being made at the store level with a lot of input, Kent, that you described, I think, the conversation happens in a week ago. So, the context of the question is when your operators are seeing much higher than expected increases in COGS and they're starting to see an uptick in labor in the beginning of this quarter in the second quarter, is there any thought of allowing them to do an off-cycle pricing? Like to do a pricing, for example, when you start to see problems if you price down to April 1 or May 1 or whatever it is as a – just bringing that a little bit faster to market as cost and their overall store profitability might actually dictate?
Scott Matthew Colosi - President & Chief Financial Officer: Hey, John. This is Scott. We might do that if it's a wage rate challenge. We have actually where you've got, let's say, Alaska or California, maybe in New York, where you've got mid-year pretty big wage rate changes, we might do something in those states. And we might do it in multiple parts, we might do it in one whole swing; it varies. In the past, we've taken multiple price increases throughout a year if the cost structure changed in a certain way. But if it's something where we think the prices of some item like beef are coming back down throughout the year and if we're floating a lot of product, we might not take a price increase sooner, if you will, to offset that. We'll be patient and let that play through. And so – which means maybe our guys are losing a little bit in Q2, maybe they're winning a little bit more in Q3 and Q4. So, we'll look at all the angles on that stuff.
John William Ivankoe - JPMorgan Securities LLC: Thank you.
Operator: Thank you. And we'll go next to Kurt Moeller with Calvert.
Kurt Moeller - Calvert Investments: Good afternoon. I apologize if this is a redundant question, but I'm still puzzled in trying to figure it out. Why exactly are beef costs rising so much faster at Texas Roadhouse than at competitors?
Scott Matthew Colosi - President & Chief Financial Officer: I will tell you it depends on how they bought their beef last year; were they locked in, were they floating? It also depends on how they're buying it this year; are they locked in, are they floating? You just can't look at just one quarter. I would look at what their full year forecasts are for inflation in those commodities. And then lastly, I would tell you are they using the same cut of beef year-to-year or have they changed the type of beef that they're buying or something in their process?
Wayne Kent Taylor - Chairman & Chief Executive Officer: And I would reiterate what Scott just said. I think you'll find that some of the competitors that maybe used to be selling choice steaks are now selling select.
Kurt Moeller - Calvert Investments: Would it be fair also to say that as Texas Roadhouse is buying, I think, a higher percentage in the spot market than at least some of your competitors, that that differential is contributing to the differential in beef cost increases?
Scott Matthew Colosi - President & Chief Financial Officer: It could be, dependent upon what the cuts are.
Kurt Moeller - Calvert Investments: All right. And finally, how do we get credibility in the beef forecast for the second half of the year given what's happened in the first half of the year?
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Well, I think anytime you're floating your beef there's going to be some short-term volatility to it. And I think that's just something we're comfortable with. We're comfortable with that volatility on a short-term basis. So – and we feel like that's the best choice to make.
Kurt Moeller - Calvert Investments: Does this imply that the pricing increase was just frankly too small back in the fourth quarter of last year and it should have been higher?
Wayne Kent Taylor - Chairman & Chief Executive Officer: Wow, I wish I had a crystal ball to forecast what beef will be a year from now, but we really don't. We are – we go to the suppliers and they'll give you a contract for next year right now, but it would be significantly higher versus what we think we're going to pay for the overall year. So, it's really tough to know. Say three out of four years we win the way that we play the game and then maybe one year the way we play the game we don't really hit it like we thought we would, but that's kind of how we've done it over the last 10 years. And in general, we do quite well with it.
Scott Matthew Colosi - President & Chief Financial Officer: Yeah, I think it's just – it's just sometimes we know going into the year we're not going to take enough pricing to offset inflation. And so, we're going to need to grow traffic quite a bit if dollar for dollar we're going to make up that difference. We've grown traffic quite a bit and we think based on our sales growth, we're doing a lot of the right things. Sometimes you take a little bit on the chin in the short term to keep things going great in the long term. And our average unit volumes now are going to pass $4.5 million this year. I think it's more than $1 million dollars more than most of who you would consider to be our steak competitors. So, we think we're doing some things right with this long-term approach we're taking to balance the equation of pricing versus the cost of running the business.
Kurt Moeller - Calvert Investments: Yes. Sales have been fantastic. That's been great to see.
Operator: Thank you, and we'll take our final question today from David Carlson with KeyBanc.
David Carlson - KeyBanc Capital Markets, Inc.: Hey, guys. Just real quick, just to piggy-back off of that last question, we're really only a third of the way into the quarter at this point. You indicated that you're still floating a lot of your needs. That was the case last quarter. Do you have any better visibility this quarter incrementally than you had last quarter to what that cost is going to be? Are you incrementally more locked than you were in the last quarter? I'm just really trying to get a better handle on really this confidence in the back half which is a pretty dramatic shift down.
Scott Matthew Colosi - President & Chief Financial Officer: Yeah, we're not going to give exact numbers on how much we're locked or how much we're floating except to say we're floating a lot of product and so there is some risk there. There is a lot of seasonal history in where beef costs go and there's already been a pretty dramatic change even from where beef price has peaked back in mid-April – down quite a bit. So, we are believing that those trends will continue as the year goes on and you get past the Fourth of Julys and Labor Days and that kind of thing. And so, we've got a very experienced beef buying team in our company and we're standing behind their forecast right now.
David Carlson - KeyBanc Capital Markets, Inc.: Thank you.
Operator: And we do have one more question in the queue. We'll go next to Brian Vaccaro with Raymond James.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Yeah. Thank you. Most of mine have been already answered, but I wanted to just go back to the third quarter. I understand, obviously, the drivers of the preopening shift, but if maybe we could get a little tighter help on the third quarter versus fourth quarter preopening time just to kind of get everybody on the same page, given the magnitude of the shift I think that would helpful. Thank you.
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: Sure. No problem, Brian. Yeah, I would say just with 14 openings during the quarter, we're going to see a pretty big increase. You could call it a $1 million, $1.5 million versus what we saw this year, I think, is what we'll be seeing probably in Q3.
Brian M. Vaccaro - Raymond James & Associates, Inc.: Okay. Thank you.
Operator: And there are no more questions in the queue. I will now turn it back to Tonya Robinson for closing remarks.
Tonya Robinson - Senior Director of Investor Relations and Financial Reporting: All right. Well, we thank you all for being on the call and have a great evening. Good night.
Operator: And that does conclude today's conference call. We thank you for your participation. You may now disconnect.